Operator: Good morning, ladies and gentlemen, and welcome to the Henry Schein Fourth Quarter Conference Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to introduce your host for today's call, Susan Vassallo, Henry Schein's Vice President of Corporate Communications. Please go ahead, Susan.
Susan Vassallo: Thank you, operator, and my thanks to each of you for joining us to discuss Henry Schein's fourth quarter results. With me this morning are Stanley Bergman, Chairman and Chief Executive Officer of Henry Schein; and Steven Paladino, Executive Vice President and Chief Financial Officer. Before we begin, I'd like to state that certain comments made during this call will include information that is forward-looking. As you know, risks and uncertainties involved in the company’s business may affect the matters referred to in forward-looking statements. As a result, the company's performance may differ from those expressed in or indicated by such forward-looking statements. Also, these forward-looking statements are qualified in their entirety by the cautionary statements contained in Henry Schein's Securities and Exchange Commission filings. The content of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast today, February 15, 2012. Henry Schein undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. I ask that during the Q&A portion of today's call, you limit yourself to a single question and a follow-up before returning to the queue. This will provide the opportunity for as many listeners as possible to ask a question within the one hour we have allotted for this call. With that said, I would like to turn the call over to Stanley Bergman.
Stanley M. Bergman: Good morning, and thank you, Susan. And thank you, everyone, for joining us. We are delighted to have gained market share in all of our business groups during the fourth quarter and in fact, for the full year of 2011. And in the fourth quarter, we experienced overall middle -- mid-single-digit internal growth and that's adjusting, in fact, reducing the actual sales growth or sales rate of growth for the extra week. And of course, we complemented the internal growth with growth as a result of strategic acquisitions. For the year, we are proud that we exceeded $8.5 billion in sales. The team has done a remarkable job in garnering market share growth through internal growth and of course, absorbing the acquisitions that were made in the previous year. If you think about it, we had $6 billion of sales in 2008 and took that to $7.5 billion in 2010. And for the full year of 2011, we had $8.5 billion of sales. Overall, our view is that the markets we serve are modestly improving. We think we are off the bottom and are growing in all of our markets, and we look forward to the return of historic growth rates, 5% to 6% annually, in the long run as the baby boomer generation understands the importance of preventative care in the medical and dental arena and as the market continues to develop throughout the world with a companion Animal and Equine business. So in a moment, I'll provide some commentary on each of our businesses but first, I'll ask Steve to provide an overview of our quarterly financial results. Thank you. Steve?
S. Paladino: Okay, thank you, Stan, and good morning to everyone. I'm also very pleased to be reporting solid sales and earnings growth for the fourth quarter of 2011. Before I begin, let me point out that the fourth quarter of 2011 included one additional selling week compared with the fourth quarter of 2010, and that week is the holiday week between Christmas and New Year's. This occurs approximately every 6 years for Henry Schein, given that we are on a 52-, 53-week fiscal year ending on the last Saturday in December. We have estimated the impact of the extra week and I'd like to point out that this estimate is not a precise calculation, although we are very comfortable with the estimate. And that's mostly related to equipment and technology sales, which are larger ticket items and are significant investment decisions on the part of our customers. And that decision is not likely to be proportionately impacted by the inclusion of an extra week during the quarter. So in order to provide a more meaningful commentary, we have provided separate estimates on the impact of sales growth for that extra week, as well as the internal sales growth figures excluding that extra week. So turning to our financial performance. Net sales for the quarter ended December 31, 2011, were $2.3 billion, reflecting a 15.6% increase compared with the fourth quarter of 2010. Internally generated sales were up 5.3% with only 0.1%, a decrease due to foreign currency exchange and acquisition growth was 4.7% and the growth estimated to be attributable to the extra week was approximately 5.7%. Sales of seasonal influenza vaccines during the quarter did not have a significant impact on our sales growth for the quarter. You can see the details of our sales growth that are contained on Exhibit A in our earnings news release that was issued earlier today. Our operating margin for the fourth quarter of 2011 was 7.0%. It declined slightly by 4 basis points compared with the fourth quarter of 2010. However, excluding the impact of current year acquisitions and sales of influenza vaccines from both periods, our operating margin expanded by approximately 24 basis points compared with the prior year's quarter. As we have historically discussed, acquisitions typically carry a lower margin than our existing business until we integrate them and serve to reset our base operating margin. Our effective tax rate for the quarter was 30.9%, which is in line with our previous guidance and is down slightly from the 31.9% in the fourth quarter of 2010. For 2012, we estimate that our effective tax rate will continue to be in that 31% range. Our net income attributable to Henry Schein, Inc. for the fourth quarter of 2011 was $104.7 million or $1.15 per diluted share. This represents growth compared to the 2010 fourth quarter of 12.6% and 15%, respectively. Taking a look at our financial performance for the full year, I am pleased to report that we achieved a number of good milestones, including sales growth of 12%, again, adjusting for that extra week; growth in diluted EPS of approximately 11% compared with the prior-year EPS on a non-GAAP basis; and free cash flow was extremely strong of $509.5 million for the year and that exceeds our net income and is in line and actually, in excess, of our corporate goal. So we're very proud to have exceeded the EPS goal that we stated more than a year ago during, we believe are difficult and uncertain economic times. Now I'd like to provide some detail on our sales results for the quarter. Our North American Dental sales for the quarter increased 11.9% to $806.6 million. Internally generated sales were up 4.5% with a 0.1% decline related to foreign exchange and growth attributable to the extra week of 7.5%. Our consumable merchandise sales increased 4.8% in local currencies and that's all internally generated and also adjusted for the extra selling week. And on a same basis, our Dental equipment sales improved and increased to 3.8% in local currencies, again, all internally generated and all adjusted for the extra week. Our North American Medical sales were $373.3 million in the fourth quarter, an increase of 13.9%. This consists of internally generated sales of 7.1%, approximately 0.7% growth related to acquisitions and 6.1% growth attributable to the extra week. We are really very pleased to continue to gain market share in our North American Medical business. Again, sales of seasonal influenza vaccines did not have a meaningful impact on our Medical sales growth for this quarter. Turning to our North American Animal Health business. Animal Health sales were $255.9 million for the fourth quarter, an increase of 14.9%. This consists of internal sales growth of 7.2% and growth attributable to the extra week of 7.7%. As we have previously discussed on prior conference calls, now that the Butler and Henry Schein Animal Health businesses have been completely integrated, we are seeing the benefits of our coordinated sales efforts and that is driving the sales growth. International sales for the fourth quarter of 2011 were $833.8 million, an increase of 20% compared with the prior year's fourth quarter. Internally generated sales growth was 4.8%, acquisition growth was 12.2% and growth due to the extra week was 3%. The foreign exchange impact on international sales was really insignificant this quarter. If we look at some components, that 4.8% internal sales growth includes 4.4% in our international Dental business and 6.3% growth in our international Animal Health businesses. And these businesses represent approximately 65% and 32%, respectively, of our International business. Technology and Value-Added Service sales for the fourth quarter were $70.7 million, up 23.1% compared with the prior year's quarter and this consists of internal sales growth of 2.4%, growth attributable to the extra week of 6.5% and acquisition growth of approximately 14.2% due to the acquisitions of McAllister and ImproMed. During the fourth quarter, we saw particularly strong growth in our Electronic Services and Financial Services businesses. With respect to stock repurchase, we continued to repurchase common stock in the open market during the fourth quarter. More specifically, we repurchased approximately 1.1 million shares of our common stock during the quarter at an average price of approximately $61.98 per share and that's translated to approximately $68 million of cash. The impact on the repurchase of our shares for the fourth quarter on diluted EPS was a little less than $0.01 per share. Let's take a brief look at some of the highlights of our balance sheet and cash flow for the quarter. Again, our operating cash flow for the quarter was extremely strong, $277.8 million. That compares to $216.6 million in last year's fourth quarter. Operating cash flow for the year was $554.6 million. And as I mentioned earlier, we are extremely pleased to have achieved and exceeded our goals of having operating cash flow. In fact, free cash flow exceed our net income. Our accounts receivable days sales outstanding was 39.3 days for the fourth quarter. That's slightly down compared to 40.8 days in the fourth quarter of last year. For the full-year basis, days sales outstanding were 40.6 days. Inventory turns for the fourth quarter of 2011 was 6.8 turns. That's up compared to 6.7 turns in the fourth quarter of last year and a full-year basis, they were also 6.7 turns. CapEx for the year 2011 was $45.2 million, and we expect capital expenditures for next year, 2012, to be in the $45 million to $55 million range for 2012. So moving to some of our strategic priorities. One of those that Stanley will discuss later is optimizing our cost structure and our processes and to that end, we have announced today that we are implementing a small restructuring with the goal of improving profitability. We expect to record restructuring charges of somewhere approximately between $11 million to $13 million or $0.08 to $0.10 per diluted share. And this will occur during the first half of 2012 as a result of this action. I'd like to conclude my remarks by reaffirming our 2012 financial guidance as follows. We expect 2012 diluted EPS to be in the range of $4.25 to $4.34 and that represents a growth of 7% to 9% compared to our actual 2011 results. I'd like to point out a couple of things with respect to that guidance. First, it's important to recognize that 2012, that fiscal year includes one less week compared to 2011. Our guidance also excludes the one-time restructuring costs and as always, our guidance is for current continuing operations, as well as any completed or previously announced acquisitions but does not include the impact of any potential future acquisitions. So with that, I'd like to turn the call back over to Stan.
Stanley M. Bergman: Thank you, Steven, very much for your update and I'd like to now provide a little bit color on the business units. So let me begin with the North American Dental business. That's our dental business in the United States and in Canada. The results for our North American Dental business was strong across the board and reflects steady patient traffic to our Dental customers' offices and higher demand for dental equipment. Of course, this was partially driven by the tax incentives that were in effect for 2011. Internal growth in sales of Dental consumable merchandise in local currencies was 4.8% during the quarter, excluding the extra week. So I think it's best to look at it excluding the extra week, which is solidly ahead of our estimate for the market growth and shows the strength of our Dental franchise here in the United States and in Canada. And our dental equipment results turned positive for the quarter with internal growth in local currencies at 3.8%. Again, if you should take out the extra week and this is after taking out the extra week. And as I noted during our last quarter call, we entered the fourth quarter with a strong backlog of equipment orders, including some that occurred in the -- early in the fourth quarter due to the timing of the end of the third quarter. I think we provided some color on this during the third quarter conference call. So overall, I think we continue to be happy with our North American Dental businesses. They're doing well, gaining market share. The team has high morale and overall, the management is doing a very good job. Now let's take a look at the North American Medical team and their performances. The team also, by the way, is doing a very good job. Happy with the management to that team and how they're leading us through some of the changes in the physician environment. The performance was good, very good, actually during the quarter, with internal growth well in excess of our estimate for the market growth. During the fourth quarter, we distributed about 1.7 million doses of seasonal influenza vaccines as planned, bringing our total for the year to 11.6 million doses, with sales of approximately $88 million. We expect to distribute a similar number of doses in 2012. We are quite comfortable with the current supply agreements for seasonal flu vaccine, and the profitability for these products in 2012 is expected to be potentially a little higher the comparable numbers for 2011. The team on the -- so overall, very good North American Medical performance. I think we're doing well with -- working very well on taking advantage of the change in dynamics with respect to the consolidation in that field and expect to continue to garner market share in the next year or so. So let's now turn to the North American Animal Health business, where we continue to be very pleased with the results of that team's performance. This business, we believe, is growing well in excess of the market. Again, remember, in North America Animal Health, we are focused virtually exclusively on the companion animal side. So I think when trying to understand the market share growth in this sector, it's very, very important to understand that we are only focused on the companion animal side in this country. Our sales growth is due primarily to expanding the breadth and depth of our product offerings and to strengthen relationships with our customers. We recently acquired all of the Oak Hill Capital Partners' interest in Butler Schein Animal Health, and Henry Schein now owns 71.7% of this business. Since its formation 2 years ago, Butler Schein Animal Health has performed exceedingly well. Today, it is one of the anchors in our leading global Animal Health business, which has annual sales in the United States, in Europe and Australia and New Zealand of approximately $2 billion on a GAAP reported basis. And from a strategic perspective, the Butler Schein Animal Health joint venture is yet another example of the benefits to Henry Schein and to our partners in structuring such partnerships, which benefit all parties. So we're very pleased with the leadership of our Animal Health business in North America with the partnership we had, which included the Oak Hill Capital Partners and now is a partnership between us and the Ashkin Family, and we couldn't be happier with the way this has turned out from a financial point of view, from a strategic point of view and from a partnership point of view. So now let's take a look at our international operations, which also featured solid sales growth in our Dental, Medical and Veterinary businesses and of course, was complemented by the acquisition of Provet Holdings in Australia and New Zealand and that is now annualized out. On prior fourth quarter, we had strong growth in dental equipment, in part because of the various tax incentives in Australia and New Zealand. Against that tough comparison, our international group had very good rates of growth and so it's really important to take out -- to take in account the tremendous sales in Australia and New Zealand in the fourth quarter of 2010. As a result of this, tax incentives had expired and if you take that out -- you take that into account, the results for this year were really very, very impressive on the international side. Early in January, we acquired Veterinary Instrumentation, which is the leading supplier of surgical instruments and implants to veterinary surgeons in United Kingdom, not a material company in terms of sales, $11 million. But the company, which was founded by John Lapish, who began his career in the late 70s as an orthopedic animal health surgeon, focused on small animals. Dr. Lapish started designing and developing instruments for his own use and as the word got out to the other veterinarians and the demand for these products increased, he formed Veterinary Instrumentation. This acquisition holds strategic importance to Henry Schein, not only of course in the U.K. but globally. And we look forward to bringing the portfolio of high-quality specialty products to a growing number of professionals across Europe, here in the U.S. and in Australia. So overall, the international team and we could, of course, add more color if anybody has any more specific questions, did very well. I think it is fair to say that there are some challenges in Europe. But overall, the key markets are markets that we are comfortable with, that we will continue to grow our market share and our profitability. So now to the Technology and Value-Added Services business. We once again had a strong growth including the successful integration of strategic acquisitions. Indeed, total growth in this business has exceeded 20% for 5 consecutive quarters. As Steven mentioned, our Electronic Services and Financial Services businesses continue to be particularly strong. So I'm very pleased with the management team and the performance of our Practice Solutions business here in the United States, on the Dental side, on the Animal Health side and particularly pleased with the performance of our SOE business on the Dental side. Also they now have some veterinary businesses in the U.K., Ireland, Australia and New Zealand and looking forward to expanding our software franchise outside of the United States. Also Henry Schein Financial Services had a especially good quarter and the market share of our equipment sales that is being financed by Henry Schein Financial Services is growing, and I think is a very good, by any standards, with actually potential to increase our market share in the future as well. So overall, our Henry Schein Value-Added Services business, Software and Financial Services had another great quarter. So that's very high level 60,000 feet high, take a look at our 2011 accomplishments. Looking back at the year as a whole, 2011 has been both challenging and high rewarding as we faced dynamic changes in our businesses. What's going on? Although there remains uncertainty in the global economy, we believe that Henry Schein is well positioned for the future and is affected by macro-economic factors to a far lesser extent compared with other areas of healthcare and specifically, industry at large. So let's take a moment to cite a few highlights from 2011. First, we did complete a number of strategic acquisitions last year. On the Veterinary side, we closed our purchase of Provet Holdings, which is Australasia's largest distributor of veterinary products with annual revenues of about $280 million at the time of our acquisitions. I just visited with the team in Australia and New Zealand last week and the morale is good. We've gotten through the challenges of integrating into a larger business public company like Henry Schein very well, and I think the team is doing a great job. They have their eyes set on taking the business north into Asia and very, very pleased with the team that they're putting together to do just that as well. We also acquired majority ownership positions in McAllister Software Systems and their AVImark practice and the AVImark practice management system, which is part of the McAllister Software Systems and the most popular actually practice management system. And then ImproMed and the Infinity practice management software product was also acquired and of course, ImproMed is a high-quality system. AVImark, too, but ImproMed is also particularly feature-rich. So between these systems, we have now combined sales in the Animal Health Software business of close to $25 million and we believe from a market point of view, have the same positioning as we have on the Dental Software space in North America and in Australia, New Zealand, the U.K. and Ireland. On the Medical side, we acquired a relatively small but strategically important company, Alpha Scientific, which strengthen our presence in the very important medical markets in Southern California. Alpha Scientific had sales of $10 million in 2010. If we take a look at the International Dental business, we are very pleased with the performance of the acquisition in southeastern France, a very strategic acquisition. The Sogim Grimouille business which, in 2010, had sales of $20 million but the strategic value is much greater than the sales. So that's a little bit on the strategic acquisition side. Now second several notable highlights, we're looking 2011 financial performance should be mentioned. Net sales reached a record $8.5 billion, representing approximately 12% growth on a comparable week basis. It's actually, on a GAAP basis, higher but taking out that extra week, takes it down to 12% growth. That's several times the growth of the marketplace -- the average marketplace of our 3 major business segments. EPS, diluted, increased by approximately 11% on a non-GAAP basis. And we generated almost $510 million of cash flow, which substantially exceeds our net income for the year. So overall, financial performance was very good. And the third highlight and testament to the strength of our market position and our future business prospects is that in March -- sorry, in mid-August of 2011, our Board of Directors authorized a repurchase of $200 million of shares of common stock. This program was additive to the $100 million repurchase program announced in November of 2010. During 2011, we repurchased approximately $200 million of stock, and we expect to continue buying shares during 2012 as part of our ongoing stock buyback program. So now let me conclude with our thoughts on the future. We are very, very, very excited about our portfolio we have assembled, the markets we're in, dental, the physician marketplace and the veterinary marketplace. And with this in mind, we entered into a strategic and organizational development plan process in 2011. And specifically, over the last 6 months or so, members of our executive management team had been engaged in the process of developing and documenting Henry Schein's 2012 to '14 strategic plan. Our vision, our goal, the question we answered was what would we like Henry Schein to look like on January 1, 2015 and to create the appropriate strategies and focus to achieve this vision. One of the measured goals from a financial point of view was for us to aim at generating sales in excess of $2 billion -- I'm sorry, $10 billion along with improved profitability. And our goal is not to leave that to the last day of the strategic plan but to build up the $10 billion relatively soon. So that's aspirational, but I don't think it's too far of a reach. And if you look at our track record, our $6 billion in 2008, $7.5 billion in '09 and in '10 and $8.5 billion in '11, I think the trajectory would lead one to be comfortable that our aspiration is realistic. Of course, we're not providing guidance on this. This is entirely an internal aspiration. At the core of our initiatives to support this plan and our financial goals in the establishment of a -- is the establishment of a global, highly customer-centric group of business units. We are, in fact, establishing 3 and then we score customer-centric business groups, the global Dental group, the global Medical group and the global Animal Health group, as well as the global Technology and Value-Added Services group. At the same time, we will be strengthening our company-wide functions, that are used by these 3 groups to advance their business, namely, our Global Services, our Business Development, our Financial Services, Legal Services as well. In fact, beginning with the reporting of financial results for the quarter -- first quarter of 2012, we will be providing net sales and sales comparisons for each of these 3 global vertical groups that I just mentioned: the Dental, Medical and Animal Health global vertical groups. Importantly, we believe that the formation of these global business groups will provide distinct organizational focus for reaching each of our practitioner segments, and we will do so with the benefits of a global perspective, which I think is very, very important to understand. Our suppliers are global. Our customers have a lot in common throughout the world and we need to think global but act local. And we need to think that way for strategy and on the operational side and of course, with respect to our global products and services offering and global best practices. So it's global thinking at Henry Schein and the process that we began 20 years ago of being the first distributor in our field to be really reaching global goals is well underway. We have an outstanding global management team that are culturally and internationally competent. So we have an overarching corporate goal of global leadership in servicing healthcare practitioners in an office or ultimate care setting and of recognizing -- recognition by our customers as meeting the changing needs by providing superior value and experience. These are not hollow words. This is the series of goals that we've set for ourselves and we've always, traditionally always met the goals we've set for ourselves. To achieve these goals, we have identified 6 priorities. First, the very first priority is pursue growth on a global scale and the market is somewhere north of $30 billion globally. It depends on how you define it and we have $8.5 billion, at least 1/2 of the market is still in the hands of relatively undercapitalized competitors. So there's really lots and lots of opportunity to continue the growth of the company in new geographies and keeping our relations with current customers in Dental, Medical and Animal Health arena. We have no plans, by the way, to go beyond the businesses that we're in. There's too much opportunity, and we want to focus on further consolidation of these markets and bringing further value-added services to market so that we can help our customers run a better business. So that they can provide better clinical care. So the first is to pursue global growth and to increase our scale. The second goal is the optimization of our cost structure and processes, where we have already begun to take actions Steven previously noted earlier on in the conference call. The third is priority -- the third priority is a commitment to continue development of our human capital, recognizing that Team Schein remains our most valuable asset. We've invested the team for decades and continue to view this as investing in our team as one of the most important, if not, the most important investment the company could make. The next goal is superior relationships with our suppliers with continued focus on branded, exclusive and private-label products. Our customers, our suppliers are critical to us, and we want those suppliers that work well with us to understand that the best place for them to do business is Henry Schein and that they will make more money and be more successful by doing business with Henry Schein than with any of their other customers. Our fifth priority is satisfying our customers' clinical and business needs, which is actually critical in a dynamic business environment. So we need to understand what's on our customers' minds and in the sixth goal, is the commitment to deliver innovative customer solutions that meet our customers' clinical and business needs today and in the future. The various initiatives under our 2012, 2014 strategic plan reflect how far we have come as a company, and it's a real recognition of the size and scope of our organization. In 1990, our revenues were $236 million, primarily in the Dental Mail order business. In 2011, our revenues exceeded $8.5 billion and in 1990, we were just starting to enter countries beyond the U.S. Today, our International business generates some $3 billion in sales to practitioners in more than 200 countries with operations on the ground in 23 countries outside of North America. So the offering has significantly expanded from the Mail Order Consumable business to the most comprehensive array of consumables, equipment, software, financial services and other value-added services than any company in our space has to offer. So the performance -- the aspirations are good and the delivery on those aspirations from a performance point of view was excellent and our team -- we really appreciate the hard work and effectiveness of our team. So as we look back on the 20 years since we implemented our first globalized strategic plan, as we look back on the period since we have become a public company in November of 1995, I think it is fair to say that we've done a good job. We set goals. We deliver on them, not always in exactly the month we wanted to, but if you look at the track record going back to the 65 or so quarters, I think you will see that the track record is very, very good. And let me take this opportunity to thank the team, our suppliers, our customers and our investors for working with us to achieve these goals. So operator, I think we have time now for some questions.
Operator: [Operator Instructions] Your first question comes from the line of A.J. Rice with Susquehanna Financial Group.
Albert J. Rice - Susquehanna Financial Group, LLLP, Research Division: Maybe if I could just ask going back to the dental strength in the North American Dental, obviously, encouraging to see strength both in the consumables and equipment. I understand, particularly, in equipment in the fourth quarter, some of that could be just this normal seasonality of year-end buying and so forth. Can you step back and say how much do you think is an underlying strengthening on the ongoing tone of North American Dental? And how much might have just been a strong year-end push?
Stanley M. Bergman: Well, first of all, by the way, it's a very good question. First of all, every year, we have a fourth quarter that is driven by year-end buys. Of course, the greater New York meeting is the shopping place for year-end buys and every year, we have a tax consideration because, very often, dentists and even doctors or veterinarians for that matter, sit with their accountants in October, November and they make their financial decisions -- their planning decisions based on tax considerations. So I think fourth quarters always have the same dynamic. Having said that, the mood, I think, in dentistry is pretty good right now. Even during recession times, it was okay. There were 4, 5 quarters where the mood was not good. But right now, I would say the mood is good. Traffic in the offertory is solid. In some places, it's constant. In others, it's going up. And I don't think there are many parts of the country, although there are some, where traffic is actually going down. So I would say, the mood in the dental world today, from our perspective, is quite good.
Albert J. Rice - Susquehanna Financial Group, LLLP, Research Division: Okay, all right. And then maybe my follow-up would be just to understand on the restructuring. I'm sure others will ask questions here to. It seems like there is sort of an aspect of it that is to streamline efficiencies, particularly, in the international side that's sort of immediate and then there's some more global long-term strategic repositioning of the divisions. But in the short term, on the international operations, is there immediate cost savings that are benefited from this $0.08 to $0.10 restructuring charge? Will there be ongoing cost savings from that, that you can point to?
Stanley M. Bergman: Well, Steven will respond to the ongoing number. But just let me confirm to you that this is really part of a global reorganization to bring our organization into alignment with our strategic plan, to establish the 3 global verticals: Dental, Medical, Animal Health and to provide these business units with the resources they need to implement the strategic plan. So in certain parts of the business, we need to taper down our resources. In other parts of the business, we need to advance additional resources. So I think we've spoken, in the past, to shareholders about additional management resources we brought on board, both for succession purposes but also to bring us new skills that are required to implement our strategic plan. So on one side, it's bringing down spend in a certain part of the company and on another side, it's advancing resource spend in the areas that are important to advance the company on these 3 verticals and implementing our strategic plan. Having said that, Steven can give you comments on how this is likely to impact our actual expense -- expansion in the company.
S. Paladino: Yes, we do expect it to have a cost savings that will be ongoing. I would point out, though, for 2012, because the restructuring efforts are spanning the first half of the year, at best, we get 1/2 year benefit from those restructuring efforts in 2012. But we do think that it will bring ongoing cost savings. There's really 2 activities. There's some elimination of some positions, although that's a smaller piece of it. There's also some facility closings -- some smaller facility closings. So those will have continued ongoing benefits. Again, at best, 1/2 of that benefit is in 2012 and we're trying to be conservative on that in our guidance also. But we do look forward to bring ongoing benefits into 2013 and beyond.
Operator: Your next question comes from the line of Robert Jones with Goldman Sachs.
Robert P. Jones - Goldman Sachs Group Inc., Research Division: Steve, just wanted to start on the operating margins. I know the goal, the annual goal is usually for 30 to 50 basis points of expansion. Looking at the 4Q results, top line growth really strong but didn't seem to necessarily translate to the operating margin line. I guess, maybe, just what kind of top line growth do you feel you need to see a little bit more leverage in the P&L? And then, I guess along those lines, following on AJ's questions, is that in part what the restructuring is intended to help do, create a little bit more leverage in the model?
S. Paladino: Quick answer to the second part of your question is yes, it helps to obtain additional leverage. But let me just point out, for Q4, when you exclude the current year acquisitions and the impact because of lower profitability on flu vaccine sales, we actually got 24 basis points of operating margin expansion. So it's still a little bit below our goal and it's only for Q4. So we believe after restructuring efforts but even beyond that, the ability to leverage incremental sales growth, you probably need at least mid-single digit internal sales growth to get to the lower end of our goal in margin expansion. And again, our margin expansion, Bob, is always guidance, excluding the impact of acquisition. So keep that in mind. I wouldn't focus completely on the restructuring. The goal is to get annual operating margin expansion. We have done that over a long history of time. We still believe that there's good opportunity, although there's balancing with entering into new markets, especially in the emerging markets, where today that's an investment. But overall, we still feel comfortable that operating margin expansion is a good opportunity for us, and we expect to achieve it, certainly, during this next 3-year strategic plan window.
Robert P. Jones - Goldman Sachs Group Inc., Research Division: That's helpful. And then, Stanley, just to -- I know you commented on the North American Dental. The way I'm looking at equipment, I was wondering within the International business last quarter, clearly, there seemed to be a little more cautionary commentary in Europe around equipment. Could you maybe just give us a little bit more detail in the 4Q results on how the dental equipment shaped up in Europe? And then maybe just current thoughts on how you see that progressing in 2012.
Stanley M. Bergman: Yes. Well, Steve will give you specifics on the actual growth numbers internationally and shading on countries et cetera. But I think that the business is in pretty good shape. However, this is the one area in the portfolio I'm tending to be personally a little bit more cautious because if there is a tightening of credits or the stock markets don't do that well in Europe, that could make our customers a little bit negative. But I have to tell you, we're not seeing any significant swings yet. It's not as enthusiastic as it was, say, the day after the IDS meeting or the day of the IDS meeting but -- and so the data we're seeing is not that negative. But I think logic says that this is the one area we need to be a little bit cautious, and I think Steven has taken that into account as he's built his budgets.
S. Paladino: So just on equipment internationally, first, let me point out that when you look at the total international numbers, the equipment sales growth was only up slightly, a little less than 1%. But there's a story to that and the story is that, as Stanley said in his remarks, Australia and New Zealand had significant tax incentives in 2010, that people took advantage of to buy equipment. And excluding that, we did get -- I don't have the exact number, but low single-digit equipment sales growth on the equipment, on the international side. More broadly, when we look at our geographic split, we had during the quarter, very strong growth in the 3 large countries for us, namely, Germany, France and the U.K. Other countries also did well, including Australia and New Zealand on the consumables side. And of course, some of the Mediterranean countries are having a little bit of weakness. Italy is our biggest market there. So they're not having a stronger period. But overall, you know, I would say that internationally, right now, we're feeling like those markets also are modestly improving. Now be careful because if you're in a country where the improvement is -- the market declining less, that may be true for some of, again, the Mediterranean countries. But certainly, Germany, France and the U.K., we're getting good growth. The U.K. market is probably the softest of those big 3. But we're gaining market share so we're doing well in that market. And again, the goal in our guidance is to have a conservative bias because there is a fair amount of uncertainty as to what's happening in Europe. We hope that, that conservative bias will turn out to be more conservative than what we built in, and we'll have some upside to that. But it's still early on in the year and we felt that it was not the time to be more optimistic at this time.
Operator: Your next question comes from the line of Glen Santangelo with Credit Suisse.
Glen J. Santangelo - Crédit Suisse AG, Research Division: Steve, if I could maybe just follow up a little bit on the non-Dental business. Essentially, if I look at your Medical growth and the Vet growth, it certainly surprised me on the upside a little bit and I was wondering if you could discuss what happened in the Medical business a little bit more specifically, particularly, given there was a lack of seasonal flu this year. I'm kind of curious as to why the results were as strong as they were.
S. Paladino: Sure. And I think you're also asking about Animal Health so I'll comment on that, too. Medical -- we're clearly -- on both Medical and Animal Health, we're clearly gaining market share in both of those markets and by a pretty significant margin. Because if you look at Medical internal sales growth of slightly over 7%, the margin is probably just marginally positive. So most of that growth is market share gains. I think we're seeing growth in a couple of areas. One is in larger group practices that we're winning business in that area. This emerging -- it's more than emerging. This trend of practices that are either owned or affiliated on a group basis, either by IDNs or otherwise. So we're gaining share in that market, which is probably the fastest growing subsegment of the physician market and in other area, there are some pharmaceutical products, non-flu vaccine pharmaceutical products that we're capitalizing on, that we're doing well with. And as you probably know, we are a leader in the physician -- that niche physician pharma market. So we're benefiting probably more than our competition on some of those products because of that. So the Medical continues to be very solid. Turning to Animal Health. Animal Health, this quarter, putting another extremely good quarter, also growing just slightly north of 7%. That's probably at least 2x what the market is growing in Animal Health. So that's very positive. I think, here, it's a continuation of -- we now have our Butler Schein team completely focused on driving market share gain. The integration is behind them. They're still -- their sales force is still learning all the new products, the new tools that they have as a part of the merger with Henry Schein business. And also there is a pharma product that's also aiding our growth as well as the market's. So that's just a little bit more color on both of those. We still think that, that is something that's continuing. We don't see weakness in either of those markets in the short term. Obviously, in the longer term, I would say, it's impossible to grow at 2x or 3x what the market is growing for the indefinite period of time.
Glen J. Santangelo - Crédit Suisse AG, Research Division: Well, I guess, that was my question. I'm just kind of looking at sort of the market growth in your non-Dental businesses and non-Dental is now over 40% of the company by my estimate. Is it fair to say that this business is growing faster than Dental and is probably a little bit easier to take market share? Because I'm trying to put that in the context, Stan, of some of your comments regarding the company's internal goals if I look out 3 years, and I understand, you're not giving any guidance in the out years. But based on some of your internal goals, it appears you're looking to grow revenues compounded annually in that 5% to 6% growth range and as I think about it, with Dental kind of lagging behind that number, maybe it's the non-Dental businesses that kind of get you there. Is that a fair assessment or no?
Stanley M. Bergman: What I think you need to look at is our strategic goals. I think we spent a long time. We want to grow a couple of hundred basis points more than the market growth. We want to take our operating margin up by 25 to 50 basis points, somewhere around there. You do that and you end up with mid-term -- you end up with high single-digit EPS growth. Our goal is always to add a little bit through acquisitions and then you end up in the low teens. So I think -- what I'm thinking that's very, very important is to bear that in mind. When you look at the Animal Health numbers and you compare that to our competition and one has to be very careful. There are a couple of things here. First is the switching periodically both ways from agency to sales booked at the full rate of the sale. It does have margin implications but there's a difference between agency sale and regular sales, as when reports from a GAAP basis, so not the time in the call to go to the details. If you want it, please, anyone, feel free to give Steven or Susan or our guest relations people a call to get those details. But I think that has to be taken account. Then the swing between us and our competition on what happens in the large animal area has to be taken into account. So I think, overall, we expect to gain market share in the Animal Health arena. I think we're well positioned to do that. Our investments in the software area have paid off. I think there is lots of opportunity in the Medical arena as the market shifts from 1 and 2 and 3 practitioner offices to larger offices to multiple locations under common management. We've always done well in that area. If you look at the Dental space, I think the same dynamics apply. I think the consolidation in the Dental space, although not as rapid in the Medical, is moving in our favor. I think we've always had a big market share in that area. That part of the industry is spending money. So I would say in the North American area, we still believe we have lots of upside and certainly, although no one can guarantee, we're quite comfortable with growing at a couple of hundred basis points above the market growth. As it applies to international, I think Germany will do okay. France and Italy have somehow, even with challenged economies in the last decade or whatever, always tended to be okay. The U.K. is this year's challenge, I don't know if it's going to be next year's challenge but it's not material. The rest of Europe kind of balances itself out. You have Holland that does okay, always has, and you've got Spain that is a little bit -- has had some challenges, shall we say. But we're working off a lower base. The base really went down significant 3 years ago. And then, we have very good markets in Australia and New Zealand, and we had some issue there between the fourth quarter of 2010, being great the first quarter of 2011, not being so great second quarter of 2011. But it's not material overall. So if one looks through the portfolio, internationally, I think we will have okay growth in Europe, a little bit of some new business in the developing world and probably a turnaround in Australia and New Zealand. So I think the international world should also do okay and the 200 basis points or so more than the market, from an internal growth point of view, should be there. So overall, internal growth, I think it's well spread throughout the portfolio with my sense that on the acquisition side, barring perhaps something unusual happening on the positive side, shall we say, it's likely to be tilted towards international rather than the U.S. simply because the opportunities are there, although it's a greater extent.
Operator: Your next question comes from the line of Michael Cherny with Deutsche Bank.
Michael Cherny - Deutsche Bank AG, Research Division: So just thinking about some of your long-term strategic initiatives. Obviously, Stan, you brought up the idea of pursuing growth on a global scale. As you think about where you guys are strategically and it was obviously a much bigger move with Provet into the Australia and New Zealand markets last year. Are there any other geographies that you're particularly focused on in terms of building out, anywhere that you're not right now that you want to get into with the strength you've had in the Australia regions, that's somewhere you want to continue to grow? I'm just trying to get a sense of -- as you think about that long-term 3-year plan, when we get to 1/1/15, where does Henry Schein have a bigger presence from a geographic perspective?
Stanley M. Bergman: Yes, I'd like to be as specific as possible but obviously, for competitive reasons, it's probably not a good idea because when the word gets outs, the chance coming to market, that doesn't make any easier for us. And sometimes we just like to arrive. So having said that, I think Europe presents a market of the size of the U.S. and in the U.S, we have a significantly bigger market share than in Europe. So then Europe is there. I think the markets of Asia in the developing world and the aggregates are also equal to the U.S. and Europe. So if you break the world into 3 big markets of about equal size and I'm done converting [ph] it to the nearest dollar, you've got North America, you've got Europe and you've got Asia. And I don't -- I can't see a reason why we should not have similar market shares in Asia and the rest of the world, in Europe versus the U.S. and I still think there's upside in the U.S. So exactly how the mix works out is no one can tell because a lot of our acquisitions across all of them are opportunistic. But I think there's upside in the U.S. and there's opportunity in Europe and the rest of the world, the other 1/3 to also grow. And there's a gap between our market shares in North America and our market shares in Europe and our market share in the rest of the world. So it's all over and lots and lots of opportunity over the next 3 years. But clearly, I think the globalization is critical for us as well as, by the way, expanding our footprint in business with specialists.
Operator: Your next question comes from the line of Lisa Gill with JPMorgan.
Michael R. Minchak - JP Morgan Chase & Co, Research Division: It's actually Mike Minchak in for Lisa. Just a couple of questions. First on the North American Dental equipment side. The growth in the fourth quarter bounced back after decline in the third quarter. Just wondering if you had a sense for how much of the fourth quarter growth do you think came from the end of your tax incentives. And maybe based on your sales pipeline, are you currently anticipating growth in that North American Dental equipment market in 2012?
Stanley M. Bergman: Sure. First, let me point out that our North American Dental equipment growth of 3.8%, I think, was the highest that we've achieved in 6 or 7 quarters. So yes, it was a little bit of tax pull-through. But I think that statement would still be true to a slightly less of extent without the tax incentives. So we do think that we saw an improvement in the Dental equipment market. Remember, a lot of this, Mike, is the sentiment in the dental office, dentists feel like the business -- the economies are doing well. Patient traffic is steady and maybe modestly improving. So that allows them to make some investments in their own practice. We think that we'll see growth in the market and we'll take market share in equipment in 2012 in the dental market. That's our goal. I'll remind you also that the negative sales impact related to [indiscernible] is now over. So that's annualized. So we had a little bit of that negative impact in Q4 so our growth was probably a little bit higher than that, maybe another 1/2 a point or so. So that's now gone. So that will help also into 2012. So we feel again, like the Dental equipment market is beginning to improve and come back. I just want to be careful because it's really hard for us to estimate exactly how much of that improvement in Q4 is related to tax incentives. I think, again, though just to conclude, we still would have had the best quarter in 6 quarters on equipment, even if the tax incentives were not as significant.
Michael R. Minchak - JP Morgan Chase & Co, Research Division: Understood and then maybe just a quick housekeeping question. Are you assuming any additional share buybacks in your 2012 guidance?
Stanley M. Bergman: No. There's maybe a small modest amount from what we've already completed in Q1 that's baked in. But really, there's not -- acquisitions and stock buyback are based on when we do that so it's really not baked into any significant expense in our guidance.
Operator: Your next question comes from the line of Steven Valiquette with UBS.
Steven Valiquette - UBS Investment Bank, Research Division: So it seems like you guys have a pretty good momentum here exiting 2011. I'm just kind of curious -- just general comments on leaving the 2012 EPS guidance unchanged, if that's just being conservative. And I only ask because -- this is probably semantics but it just seems like the same EPS range you now suggest, basically about 6% to 8% growth, instead of 8% to 10% previously when you factor in ending 2011 on a higher EPS base and also the additional Butler JV accretion. But just sort of the general thoughts around the 2012 guidance.
Stanley M. Bergman: Yes. The overall growth is 7% to 9%. I guess there's a few comments. One, just remember, everyone, that 2012 is one less selling week than 2011. That probably has at least a 1% negative impact on EPS, maybe slightly more than that, maybe as much as 1.5%. So that's just a fact. We can't do anything about that. The second point is the goal was to put out guidance with a little bit of a conservative bias. We do think that the global economies, while they're improving and our markets seem to be improving, the sustainability of that still has some uncertainty. And we've decided that, especially given what's going on in Europe, that it was more prudent to be conservative in the outlook. We're hoping that -- we're maybe being a little bit too conservative but time will tell. And maybe the last thing that I would point to is when you look at foreign exchange rates, when we -- while on the call, when we initially gave guidance, the dollar to the euro was either $1.36 or $1.37. Today, it's slightly north of $1.30. So that has a negative impact on translating EPS growth. We still -- that's not negatively impacting our guidance because we were conservative on what we've used in foreign exchange rate. But obviously, now that conservatism is less because of the way the dollar has strengthened. And quite frankly, I don't think anyone really can predict with any degree of certainty what's going to happen, although I personally think that there's a greater likelihood that the euro will weaken a little further. But we'll see what happens. There's a little bit of conservatism built into what's going on with foreign exchange rate. And those are maybe the 3 things I'd point to and maybe less -- still early in the year. It's only mid-February now, right? It's still a long way to go for the year to go.
S. Paladino: And having said that, I must say we are feeling very comfortable with our business. But this is not the time to be adjusting guidance. Let's have another quarter or so under our belt and -- but the business is feeling pretty good right now.
Operator: Your next question comes from the line of Jeff Johnson with Robert Baird.
Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division: Stanley, I was hoping I could push you a little bit just on your strategic, your 3-year plan as you talk about getting to that $10 billion, obviously, a big goal there. But when you look at the numbers, it's maybe about 5% to 6% compounded annual growth over the next few years and you yourself started talking through kind of what your -- historically your company-wide plan has been, which is 4% to 5% or maybe 5%, 6% market, shying a couple of points above that and then acquisitions on top of that. So where you typically talked about maybe mid to upper single-digit company-wide growth, you're putting out a 3-year plan of 5% to 6%. How do I just reconcile those 2?
Stanley M. Bergman: Maybe I didn't use the right word. It's over $10 billion. And I hope our team is listening in to the call because that's the hope and the aspiration. I think the aspiration, obviously, has to be a little bit ahead of our commitments to the street. But overall, this should be a company, January 1, 2015, well over $10 billion
Jeffrey D. Johnson - Robert W. Baird & Co. Incorporated, Research Division: So we shouldn't read that at all to mean that maybe Schein's ability to outperform the markets by 100 or 200 basis points, you're coming off that or that you're coming off kind of your acquisition -- expectations of maybe a few hundred points annualized a year over the longer term?
Stanley M. Bergman: Not at all. Not at all. I think if $11 billion or so were a round number, the number may have been $11 billion. $10 billion sounds like a nice aspiration and it's got to be over that or north. We give an exact time, we're not saying it's going to happen on January 1. Hopefully, a little bit earlier.
Steven Valiquette - UBS Investment Bank, Research Division: Okay, great. And Steve, could you just a little color maybe on basic equipment versus high-tech equipment in the quarter. And then the follow-up there, just on the basic equipment side, I think you guys are making some push or making a push on kind of the office planning side and some courses you're running this year or planning to run this year. Can you just talk about maybe how you think high-tech versus basic dental equipment plays out this year?
S. Paladino: Sure. I think the good news is while high-tech continues to be the fastest subcategory within our overall Dental equipment growth, we had very, very good growth in traditional equipment also, not as good. Of course, again, high-tech was the fastest growing but traditional equipment is growing and helped contribute to that overall almost 4% growth. So it was really across the board and going forward, we do expect to -- I still think high-tech equipment will continue to outperform traditional equipment in the next year or 2 or longer, simply because higher return on investment for our customer base, as well as still relatively modest market penetration. As you know, the traditional equipment is a combination mostly of replacement market, as well as, as new offices open or people move to a new office, many times they'll re-equip their office. But it's primarily a replacement market whereas digital x-ray, CAD/CAM, intra-oral cameras and other high-tech equipment still is growing in demand and market penetration for our customers. So we think that will continue for at least the next few years.
Operator: And we now have time for one last question. That will come from the line of Larry Marsh with Barclays Capital.
Lawrence C. Marsh - Barclays Capital, Research Division: Just a couple of quick clarifications. First, Steve, on the segment reporting, just to confirm, you're going to be giving us 8 segments now versus 6 starting in March. Is that right?
S. Paladino: No, no. Let me clarify because that's not correct. We have today -- we show effectively 2 segments, right? We have healthcare distribution and technology. And then we have subcomponents within healthcare distribution. So the first thing is that technology will stay the same. No changes there. So there's going to be core technology as a separate segment. The change is occurring within the healthcare distribution segments. Other than showing what we currently show, which is Dental, Medical, Vet for North America individually and then International, the subsectors there will be Global Dental, Global Medical, Global Vet and International will effectively go away. So it's going 3 subsegments within healthcare distribution rather than before. So again -- so I just want to clarify and I'm glad you asked that. And then what we'll do, we'll probably continue to give some color information on geographically, North American sales growth within Dental, Europe and maybe rest of world something like that, although we haven't completely determined that. The other thing I wanted to point out, Larry, is what we plan on doing is providing a data book on historical information in this format. The goal is to post something on our website for investors during the third quarter, within the next probably 4 weeks or so, so that investors and analysts can see the historical reporting, see the growth rates and begin thinking about that in preparation for our Q1 results.
Lawrence C. Marsh - Barclays Capital, Research Division: Right, okay. So you're going to try to be -- you have some clarification on components but you're not specifically going to give us any more North American equipment -- North American Dental equipment, North American Dental consumables.
S. Paladino: I think we probably will continue to do that at least during the transitional period because we want to try to be very transparent with our investor group, and we recognize that people have looked at this for many years in the way that we've historically presented it and we don't want people to lose their data points.
Lawrence C. Marsh - Barclays Capital, Research Division: Yes, good. Okay, that makes sense. Implicitly, you already gave us International, Vet, Medical and Dental through your percentage numbers but it will be helpful to see that. I guess then and just a clarification about your strategic initiative internationally. You mentioned the $11 million to $13 million. So once you get through 2012, that should be a profit generator for you. So can you elaborate with 3 teams now versus 1, why that will be the cost saver? And are you in a position to say -- in ballpark numbers, what kind of cost savings you can get out of that, say, starting in 2013?
S. Paladino: I hesitate a little bit but it has a slightly greater than a 1:1 payback once fully implemented. So that's -- I'd rather leave it at that. It will be a little bit greater than that but not significantly. And again, it really depends on once implemented and executed.
Lawrence C. Marsh - Barclays Capital, Research Division: Right. And finally, so what usage do you think -- even though it's 3 teams now versus 1, it's actually being more streamlined, more efficient than what you have now. Is that what you're saying?
S. Paladino: I'm not sure I understand why you say 3 teams.
Lawrence C. Marsh - Barclays Capital, Research Division: We're using global. Oh, I see. I guess you're saying global. International is going to report up to a global head so I see, so you're really taking out some of the senior officers.
Stanley M. Bergman: No, no, no. I think some of these are apples and oranges. The first thing is, we have been organized along geographic lines from an internal point of view up to now. We had a North American Dental and Medical business. We had an International business and we had a business that was U.S. Animal Health and some Dental businesses. What we are doing is returning the business into, from an organizational point of view over the next 6 months or so, into 3 global verticals, one a global Dental business. And we issued announcement internally on the services being dealt with from an internal point of view, an international Animal Health business and a international Medical business. So there will be 3 global verticals. The management has been arranged -- rearranged to focus instead of on a geographical basis and within that geographical basis by profession. We are going to focus globally by profession because we think that there's a lot in common between the professional aspirations and the needs of the practitioner on a global basis, and we want to leverage the economies of competency. So it's not adding any additional management per se as a result of its reorganization or any additional costs. What we are doing independent of this, we are reducing expenditure in certain parts of the business, which is dealing essentially the reorganization and increasing expenditures to bring on expertise in new areas that we think are very important to drive our strategic plan.
Lawrence C. Marsh - Barclays Capital, Research Division: Got it. Okay, that's clear now. And then finally, just a quick clarification on Medical. You may not quantify this much but I think you'd said, hey, we're gaining market share based on strong management positioning clearly the physician to practices associated with IDN and IDN is going faster than your overall business, which is growing 7%, which is great. Can you clarify, if you could, how fast is that piece of Medical growing, the IDN piece? And then just remind us when you mentioned strong management, the top 2 or 3 managers in that business that you highlight.
Stanley M. Bergman: Yes. So on the Medical side, IDN is part of it but it's really the newer entities that are emerging, which is entities that roughly correspond to multiple locations under common management or many more practitioners in one setting. And that, of course, includes IDNs in one way or another but not by any means exclusively IDN. So that part of the business is managed by our global services group, which we put into effect. We created that group 3 years ago and I think we spoke at the time about a strategic plan we just completed for our Medical area, which contemplated a view of 2 things. One is greater specialization and organization of the business by specialty to a greater extent and then the focusing on the global services group, which is these newer entities that have emerged. But when it comes to healthcare services, global services is different and healthcare services, which focuses on these newer entities. So there are 2 plays that have gone on our Medical world. One is a focus on specialty and the other is a focus on these newer entities through our healthcare services group. And that, I think, has driven quite a bit of our sales. Now you ask who's managing the group. Well, the group today is part of our North American group and that reports up to Jim Breslawski and the person -- the senior executive running our medical group is Dave McKinley, who joined the company, I would say, about 6 years ago. And he and his team drive our North American Medical group. There is also a small group in Europe but it's not material on the International Medical side. I'll take you through underneath that core spread, connect, take you up the sales side and so on and so forth.
S. Paladino: Yes. I'll just conclude because we're running a little late on time. But I'll just conclude. Now I don't want to be very specific on how fast that subsegment is growing but I will say, it's growing significantly faster and it's in the double-digit range. But I'd rather leave it at that for now. And just in the interest of time, I think Stanley is just going to wrap up at this time. We're running a little over.
Stanley M. Bergman: Right. These are good questions, and of course, please, everyone, feel free to give Steve a call at (621) 843-5912 or Susan Vassallo at the same with a 5564 -- 62. I don't call Susan that often. She has an office near me, 5562. And so please feel free to reach out to them. Again, I think, you can sense from the prepared remarks and the Q&A, we remain very bullish about our business. We think we're in the right space. We think that preventative care is going to continue to drive our -- and a desire for preventative care is going to continue to drive our Dental business. The movement towards more primary care is also important in our Medical business, plus our focus on specialty in the dental world and in the medical world is helping us. Our global view of things, I think, is the right strategy for us at this time. And as I've said before, there's no need for us to leave this terrific marketplace of the office-based practitioner, lots and lots of value-added service business to go, software opportunities all over the place and we're very, very happy with the strategic plan we have, with our senior management team, with the entire motivation level of the company. And I've just visited our European businesses, Australia and New Zealand business, and I can report to shareholders that we really are -- have a company with high morale and excitement. So we look forward to speaking to you. I think it's in -- this time, it's 8 weeks' time and when we will be reporting on our first quarter numbers. So thank you, thank you and bye-bye.
Operator: This concludes the Henry Schein Fourth Quarter Conference Call. Thank you for your participation. You may now disconnect.